Operator: Good afternoon, and welcome to the MGM Resorts International Fourth Quarter and Full Year 2024 Earnings Conference Call. Joining the call from the company today are Bill Hornbuckle, Chief Executive Officer and President; Corey Sanders, Chief Operating Officer; Jonathan Halkyard, Chief Financial Officer and Treasurer; Gary Fritz, President of MGM Interactive; Kenneth Feng, Executive Director and President of MGM China Holdings; Hubert Wang, COO and President of MGM China Holdings; and Howard Wang, Vice President of Investor Relations. All participants are in listen-only mode. After the company’s remarks, there will be a question-and-answer session. Please note, this event is being recorded. Now I would like to turn the call over to Howard Wang. Please go ahead.
Howard Wang: Thanks, Gary. Welcome to the MGM Resorts International fourth quarter and full year 2024 earnings call. This call is being broadcast live on the Internet at investors.mgmresorts.com, and we have also furnished our press release on Form 8-K to the SEC. On this call, we will be making forward-looking statements under the safe harbor provisions of the federal securities laws. Actual results may differ materially from those contemplated in these statements. Additional information concerning factors that could cause actual results to differ from these forward-looking statements is contained in today's press release and in our periodic filings with the SEC. Except as required by law, we undertake no obligation to update these statements as a result of new information or otherwise. During the call, we will also discuss non-GAAP financial measures when talking about our performance. You can find the reconciliation to GAAP financial measures in our press release and investor presentation, which are available on our website. Finally, this presentation is being recorded. I will now turn it over to Bill Hornbuckle.
Bill Hornbuckle: Thank you, Howard, and welcome to the team. We're very excited to have you join us. Let me start by thanking my colleagues at MGM Resorts for delivering yet another exceptional year of record results, including our best effort for consolidated net revenues, as well as an all-time high record annual domestic slot win, hotel revenue, and F&B revenue. Our company is in a solid and enviable position today because of the culture of our employees that built around show and the culture of yes. Our commitment and dedication to guest centricity is reflected in our Net Promoter Scores which set an all-time record for Gold+ customers in the fourth quarter and for the year. I can't say enough great things about our people here at MGM, who drive these great results day in and day out other than simply thank you. MGM is an industry leader, thanks to the strategic decisions we have executed on over the last few years. Our strategic plan has given us a strong financial foundation, proficient operations and unparalleled growth opportunities in both digital and brick and mortar. And we're off to a great start in 2025. Obviously, the Super Bowl was just played Sunday, and from a casino perspective, was a strong event for us here in Las Vegas and at BetMGM. As we look into the rest of this quarter, and the remainder of the year, we are seeking positive indicators, with revenues up -- we are seeing, excuse me, positive indicators with revenues up in our domestic operations in January as well as ADRs on pace to continue to grow for most of the year. All of this momentum is backed by a solid balance sheet, characterized by low net debt and significant liquidity. Our globally recognized brands, prime locations, development opportunities and growing digital platform enable us to reach more customers and more markets than any other company in our sector with over 46 million MGM reward members and a total addressable market exceeding $150 billion, including both our physical resorts and online markets. I'm truly excited by the opportunities in front of us in 2025 and beyond, and here's why. Our leading position in Las Vegas will be a source of stability and growth in the near term. We are investing in our business and the customer experience. In 2024, we continued a broad improvement throughout Bellagio, with the renovation of all of our suites, new food and beverage offerings as well as a refresh premium gaming spaces. Additionally, the Cosmopolitan of Las Vegas was transitioned to MGM rewards and these regular capital investments into our resort operations drive continued guest visitation and increased spend. Las Vegas December slot handle and slot win were an all-time record level for any month in our history and contributed to the all-time quarterly record for slot handle and slot win in the fourth quarter. We are bringing to fruition our goal of being the industry leader in groups and meetings with over 2.2 million room nights on the books for 2025. Last year, we completed $100 million investment in Mandalay Bay Convention Center. And we welcome both new and existing convention customers to the space. In December, we closed on the strongest convention book month of a record for our company. In fact, the bookings in December were 43% higher than our prior record month, a promising trend for our future. We concluded our first year with Marriott in 2024, which outperformed our original expectations with over 660,000 room nights stayed in the year and higher track spend in the leisure package rooms we look to displace. Importantly, we see further runway to grow in 2025 since all of our properties will be live for a full year of bookings. During the fourth quarter, we also rebranded the Delano Tower at Mandalay Bay to the W Las Vegas, which has significantly -- which has significant brand recognition and will now allow the resort to benefit from the Marriott distribution system and Marriott Bonvoy program. MGM's omni-channel advantage is now a much more meaningful opportunity with the extension improvement of the functionality and speed of the app and the launch of single app, single wallet in Nevada at BetMGM. During football season, BetMGM's significant presence throughout Las Vegas drove a 60% increase in Nevada-acquired first-time depositors versus the prior season. We also saw a doubling in continued play of actives in their home state post their signup in Nevada, a signal that single app, single wallet is driving customer stickiness. These omnichannel players are three times more valuable than the digital-only players. Our regional properties are truly best in class and we expect them to remain a very steady source of free cash flow going forward. In Macau, we achieved the best ever full year segment adjusted EBITDA in the history of MGM China. We continue to be a high-performing outlier in the market with exceptional execution by the team. Macau 2049, our first residency show at MGM Cotai and the Poly Art Museum at MGM Macau, which sold over 10,000 people in one day during Chinese New Year's are both important steps to drive non-gaming revenues and visitation to Macau. We grew market share in December to over 16%, and we concluded the year at similar levels. We remain confident and believe we have proven that we have sustainable market share in the mid teens driven by our strong product innovation teams and the focus on the premium mass market. At BetMGM, our business is stronger in virtually every aspect compared to a year ago, and it drove over $2 billion in top-line growth in net revenue from operations, accelerating from 6% in the first half of the year to 19% in the second half of the year. As we look to 2025, BetMGM expects the momentum to continue with net revenues from operating rolling to a range of $2.4 billion to $2.5 billion and EBITDA inflecting positive, which represents an increase of approximately $250 million year-over-year. In iGaming, we expanded content and player engagement tools and posted approximately $1.5 billion in revenue with over $400 million in contribution. We maintain a podium position in iGaming, market share at 22% of GGR, putting us firmly at number three and three times the size of the fourth ranked operator. In online sports, our product experience has improved, dropping progress and engagement in the activity KPIs and importantly, setting us up to be contribution positive in OSB for the first time in 2025. We expect to see continued benefit of our operating leverage as we grow revenues sustainably with a strong belief that BetMGM is on its way to achieving the $500 million annual EBITDA we've talked about in the future. In international digital, we are inducing a new reporting segment, MGM Digital, which is composed of our wholly owned consolidated online business. This segment consists of thre major components. First, the core LeoVegas business, which is an established online gaming and sports betting operation in Europe. When excluding new brands, this business was solidly profitable in 2024. We've added features to this business such as content development with the acquisition of Push and sports betting with the purchase of Tipico's US betting Technology. Second, expansion of the core business through the launch of the BetMGM brand throughout Europe. And third, Brazil, which is a significant market opportunity we are going after through our venture with Grupo Globo. We believe in the long-run investment of our owned and operated digital business which collectively can achieve $1 billion in top line and healthy margins as a realistic medium-term target. In terms of progress and strategy, we are completing the progress of integrating Tipico's US sports betting technology through LeoVegas. We anticipate going live with our own sports betting platform in our initial market as soon as next week with more launches to follow in Q2. We have already deployed the Leo powered portion of the stack, combined with our brand against favorable market opportunities in terms of scale, including the UK and Brazil, and reinforced our market leading position in Sweden through BetMGM SE. We're also beginning to realize operating leverage against our more mature digital operations at LeoVegas and Push, now that much of the cost burden from the infrastructure building of these businesses is tapering. In our development pipeline, progress in Osaka is advancing as planned. Ground preparation is targeted for the completion of this year, with main construction set to commence shortly thereafter. The official groundbreaking ceremony is scheduled for April 24th, and additionally the opening of the Yumeshima subway in January marks a significant infrastructure milestone, enhancing transportation options for future guests to our resort. In New York, we plan to submit our RFA by the middle of the year, and we are actively engaged with the city of Yonkers on zoning. With a strong year in 2024 and good momentum to start 2025, MGM is proving that targeted capital spending for refreshing growth is critical to maintain our industry leading position and our long-term expansion. We also recognize that to realize the full potential of MGM's earnings power across the channels we operate in, providing additional transparency to our investor community is important. So we are doing exactly that. I'll now pass this over to Jonathan to provide some additional details.
Jonathan Halkyard: Thanks very much, Bill. Before digging into the numbers, I'd like to take a moment to highlight a few important new disclosures that we are introducing this quarter. The first is consolidated adjusted EBITDA, a common metric which we think will provide a more familiar measure to compare our performance across others in other industries. The second relates to our digital businesses. We're now breaking out an MGM digital segment, which Bill touched on earlier, and we've expanded our disclosure of KPIs for BetMGM. With that, I'll move on to our fourth quarter results. In Las Vegas, in the face of comping to a very strong quarter last year, revenues were down 6% and adjusted EBITDAR was down 11%. Excluding the variances related to F1 [and hold] (ph), the underlying trends remain solid, evidenced by several data points, including an all-time quarterly record domestic slot win in the fourth quarter. We concluded the quarter and the year on a strong note with December occupancy and ADRs of single digits over 2023 and an all-time record for monthly domestic slot handle and slot win. This momentum gives us optimism that MGM's Las Vegas operations can grow in 2025, with the exception of the challenging comparisons this month of February, of course. Moving to the regional properties, we grew revenues by 7% and adjusted EBITDAR by 21% in the fourth quarter. MGM Grand Detroit drove a healthy portion of the year-over-year increase due to strong execution and the recovery from impacts of a labor strike in the previous year. But simply put, our strategy of operating best-in-class assets in high value geographies is leading to outperformance across our regional portfolio. We achieved the KPI performances we worked towards, growth in rated days, table drop, and slot revenues, while labor costs as a percentage of revenue were managed lower. In Macau, MGM China grew quarterly net revenues 4% year-over-year, and total dividends from MGM China to MGM resorts were approximately $200 million in the year. And last, but certainly not least, our new reportable segment MGM Digital. Now, this represents MGM's consolidated digital businesses. It does not include BetMGM, which remains an unconsolidated affiliate due to its 50-50 venture structure. Net revenues at MGM Digital grew 15% in the fourth quarter. While losses are narrowing in the UK from decreased marketing spend, increased spending related to the launch in Brazil will result in MGM Digital's 2025 EBITDAR losses to stay relatively consistent with those we had in 2024. On our last conference call, we discussed identifying approximately $200 million in operational EBITDA opportunities. We expect to capture approximately $150 million of these in calendar 2025. Roughly 35% of this is revenue actions and 65% is expense. And these initiatives will be deployed in a way that improves efficiency, leverages technology, and is more responsive to changes in consumer behavior. Before turning it back to Bill, it's really important to put our earnings power into perspective. In 2024, we generated approximately $2.4 billion of consolidated adjusted EBITDA and that includes $461 million of non-cash rent expense When you add back that non-cash rent, it represents a more accurate view of our cash earnings power We spent approximately $1.15 billion in CapEx during the year, both here in the US and in China. After deducting our CapEx, this is the fundamental earnings generation that we deploy to high return investments in the portfolio, unique development opportunities, and returns of capital to shareholders. And speaking of returns, we've purchased over 40% of our float since the beginning of 2021, including 3.4 million shares in the fourth quarter last year and another 8.4 million shares thus far in 2025, accelerating cash flow per share growth with this reduced share count. With the core brick and mortar operations delivering results, the growth potential of our digital businesses, and future contributions from our development projects, we can create significant value for our shareholders. Bill, over to you.
Bill Hornbuckle: Thanks, Jonathan. Before we turn this over to questions, I'd like to double down and take a moment on Jonathan's last comment on share buybacks. We continue to see long-term value in our share price and in the continued momentum of our business. At this very moment, I see significant opportunity in the value of our shares and if you consider the following simple assessment, you see the opportunity, hopefully, that I see. The view that Las Vegas will continue to grow as it has over the last 50 years and no company is better positioned to take advantage of that growth than MGM given our footprint and operational capabilities. Add the stability and earnings of our regional properties, then simply take the market value of our Macau stock at face value, ignore the quantum leap we have made in sustainable market share performance, add the expectation that our digital businesses are at a tipping point, with BetMGM's earning inflection positive in 2025, coupled with the growth potential of MGM Digital, and ascribe a marginal value to that segment of the business, you put it together, and our business, our poor business is trading at four times 2024 adjusted EBITDA, well under its historic multiples. With this in mind, we will continue to be aggressive in our share buyback program as we think about near-term uses of our cash. With that operator, like to open it up for some questions and answers.
Operator: [Operator Instructions] The first question today is from Shaun Kelley with Bank of America. Please go ahead.
Shaun Kelley: Hi. Good afternoon, everyone. Thanks for taking my question. Bill, Jonathan, maybe since we've got the incremental disclosures, we can just start off with the MGM Digital business quickly. Can you just give us a little bit more color on the scale of MGM's digital investment you see in that business specifically and maybe the outlook for near-term returns there?
Bill Hornbuckle: Sure, Shaun. The reason Gary is here is because he manages this business every day. And so, I'm going to turn it over to him.
Gary Fritz: Thanks, Shaun. Yeah, look, we've been hard at work at MGM Digital the past couple of years. We've been assembling a distribution network and a product platform that we believe gives us a great opportunity to compete digitally. We've completed -- principally completed our capital deployment program. As I think Bill has mentioned in the past, we've spent about $1 billion against the Leo business, building out the proprietary content development capabilities of Push and more recently, the acquisition of the sportsbook platform via Tipico’s US assets. And we're happy where we've ended up with all of that. We're hard at work integrating all of those assets together to create a platform and a set of player experiences that allow us to compete really anywhere in the world. We think market conditions are favorable. We should have that integration complete by the end of the first half of this year. In fact, we're going live next week with our first market on the fully integrated stack and we're excited about the innovation that, that unlocks and our increasing ability to compete. But what I don't think we want anybody to overlook is that why we've been capability building over the course of the past two years. Our core business at MGM Digital between Leo and Push, that's a $0.5 billion-plus revenue business. And if we were to operate those businesses with a standalone mentality, they'd be highly profitable, high double-digit margin businesses that would be very, very happy with their operational performance. But we've decided strategically that we want to augment those core businesses with targeted bets to drive long-term value creation. So, specifically, we've invested in organic growth against the BetMGM brand in a select handful of markets in Europe, the UK, the Netherlands and Sweden. Our early trading results in 2025 suggests that those investments are going well, growth is strong, and we believe the operating losses associated with the market entries are going to narrow throughout 2025, setting us up with a really strong exit rate and a meaningful opportunity for operational inflection going into '26. You then have Brazil. It's early days in Brazil. We're very, very happy with our partnership with Globo. We soft launched there in January when the market liberalized, and we're scheduled for our full media hard launch next week. We've built a local management team on the ground in Brazil. It's a $7 billion TAM, we believe, in Brazil, and we're excited to compete there on a level playing field. And then the final piece that we've decided to make a long-term bet against is what we call our MGM live operations. So, our live dealer content operations from the floors of our Vegas casinos, we're live already with our dual-play business, which continues to grow day over day, and we'll have expanded studio capacity coming up in the first half of this year. So, when you put all of that together, we feel confident we're largely done deploying capital against the owned and operated digital business. And we are definitely set up for the potential for that business to be $1 billion plus in revenue with healthy double-digit margins going forward.
Shaun Kelley: Perfect. Thank you. And then, Jonathan, probably just one quick follow-up for you, if I could. But last quarter, there was called out a little bit of BI proceeds in either the Las Vegas segment and the regional segment. We got a few inbounds on whether or not there was anything in this quarter to call out. I didn't hear anything in the prepared remarks there. Thanks.
Jonathan Halkyard: Yeah. We did not have any meaningful BI proceeds during the fourth quarter. It was an important quarter, though, on this front. We resolved the civil litigation during the fourth quarter. We still expect to receive additional business interruption proceeds during 2025 to the tune of the numbers that we've talked about previously. So, we expect those this year.
Shaun Kelley: Thank you very much.
Operator: The next question is from Carlo Santarelli with Deutsche Bank. Please go ahead.
Carlo Santarelli: Hey, Bill, Jonathan, everyone. You guys obviously have put some initiatives in, and I think you talked about it a little bit when you talked about some of the 65-35 split but I wanted to focus on Las Vegas and the revenue side. As you sit here today, kind of or on Jan 1, what do you see in kind of a flat demand environment just in terms of some of the pricing measures that you've put in, in terms of the magnitude of the head start you kind of have on the year from some of the various new kind of programs that you've put in for 2025 from a revenue perspective?
Jonathan Halkyard: Yeah. Carlos, first of all, January of 2025 was anything but flat. It was a very strong month for us and we can go into a little bit more detail on that, if you like. But to answer your question directly, it's in the tens of millions of dollars of revenue initiatives that we have put in place. Most of them actually were done during the month of December, so that we hit the year with that head start. But that gives you a sense of the magnitude of those.
Carlo Santarelli: Okay. Great. And then I just wanted to delve back to something, Jonathan, I believe you said in your remarks. On the last call, you guys talked about kind of the Super Bowl being, I want to say, $70 million was kind of the event magnitude for the strip on an EBITDA basis. You kind of talked about being able to grow monthly. And you weren't referring to February specifically. But when you think about kind of the impact of the Super Bowl in the first quarter, is the goal to be able to kind of offset that as we move through the year?
Jonathan Halkyard: Yeah, we're certainly going to do our best to do that. The impact of the Super Bowl, we estimated back in the fourth quarter or when we were last together on this call, I guess, in November. Turned out to be about our -- what we estimated about $65 million year-on-year. And so through the programs we described through organic growth, it is our goal to be able to overcome that. I'd also remind you that we do have some obstacles in terms of the impact of our renovation at the MGM Grand. This is a really important capital project for us. We've actually already got 600 rooms back online with great response from our customers. So that project is moving well, but it does -- it will impact us over the course of the year to the tune of about the same amount as the Super Bowl did year-over-year.
Bill Hornbuckle: And, Carlo, maybe one last color point. The Super Bowl, interestingly for us in the casino, was better than it was last year. Some of that was simple luck, but the bottom line is we ended up in a better place. So the degradation is hotel and sponsorships of note. Same with Chinese New Year. We had a good Chinese New Year's when it was all said and done. And so while I'm sure there's some momentum at the bottom end of the market that people are concerned with and want to watch out, watch out for. If you look at our year-end projections, we think we can exceed what we've done this year. So that implies exactly your question that we're going to surpass this Super Bowl and more. And so we're -- I think we're off to a great to start and January as an indicator was a really good month.
Carlo Santarelli: Great. Thank you both.
Operator: The next question is from Brandt Montour with Barclays. Please go ahead.
Brandt Montour: Good afternoon, everybody. Thanks for taking my question. I also -- I would love for you to go into January, Jonathan, in terms of non-gaming versus gaming. And definitely, I want to hear about sort of your thoughts on room rates. I know that you sound very positive, but the December, January room rate effect versus October and November [except one] (ph) of you saw any sort of movement there sequentially?
Jonathan Halkyard: Yeah. I guess I walked right into that one, Brandt. So I appreciate the question. Yeah -- no, January, we set some January records for occupancy at 94% ADR for the record slot handle restaurant revenue. So these were all very strong indicators for us in terms of just aggregate demand. So, one of the reasons we felt good about the start of the year, Bill in his prepared remarks talked about the booking we had on the group side in December. Now those are the rooms that are booked not only for '25, but in years beyond '25, but it gives a sense of just the level of demand from that important segment for our rooms and that's, of course, reflected in rates. So again, except for February, which we've discussed year-over-year, we're seeing, let's call it, mid-single-digit growth in ADRs in the other months, at least in the nearer term view.
Corey Sanders: And what I would add is even in October and November, October was really limited to the first week of the year, and those were Jewish holidays and you don't get a lot of convention business. And the rest of October was pretty solid. Throughout the F1 week, the rest of November was pretty solid. December has been great. As Jonathan said, January will continue -- was a great month. And then February outside of the Super Bowl weekend, it's going to be a great month for us from an ADR perspective.
Brandt Montour: Okay. Great. That's really helpful, guys. And I guess the follow-up question is kind of more of the why. Obviously, the convention you have momentum with Marriott and their group engine. But when you look across regionals and Vegas and all of the different data you see, is there a sense that your -- that the consumer just feels better post-election? Do you feel like there's a trend change there?
Bill Hornbuckle: Brandt, it's Bill. I don't know if I'd go that far, but I would say this, and the Marriott example you brought up is a good one and we didn't have them in play last January, but we all did a year-end or beginning of the year launch. And we've now, for the fourth week in a row, booked over 20,000 room nights with Marriott. And so I think we're about 85,000 room nights for the last four weeks, which, if that continues, and we have a pace and a goal of about 900,000 this year. That changes the dynamic. It just does. That's just a lot of room nights, which help a great deal underlying the foundation of what we do and how we do it and how we leverage the rest of our yielding. So that's been positive. You heard me mention the convention numbers earlier. Now, the interesting thing about that is tech business has come back. Obviously, some of it's in '25, much of it's in '26 and '27. So there's been no sign from corporate America to us that they're quote unquote concerned to the contrary, particularly when you think about what happened in December, we put a push on it and the result was just staggering in terms of the number of room nights that we booked. And so I don't know, Corey or Jonathan…
Corey Sanders: I would add, our core casino business is very solid. And the amount of room nights we have on the casino segment in Las Vegas is also helping us yield the rooms up. So we're pretty favorable on what we see looking forward in that segment also.
Bill Hornbuckle: Our active base, our MGM Rewards database, has never been larger. Obviously, BetMGM is added to that, et cetera, et cetera. And so it's just all inflecting in Las Vegas down a couple of hotels, not forgetting that.
Brandt Montour: Excellent. Thanks, everyone. Nice quarter.
Operator: The next question is from David Katz with Jefferies. Please go ahead.
David Katz: Hi, everyone. Thanks for taking my questions. I wanted to go back to digital, if I may. And I'm just curious, the degree to which MGM Digital is engaged at all, aligned or in any way with BetMGM in the US and how that is affected?
Bill Hornbuckle: David, let me kick that off, and I'll turn it over to Gary to clean up any sloppiness I may create here. But we have specifically with content development and with Push, we have created games that they are using. I think Gary can speak to the success of some of those MGM branded games. We will ultimately, over time, look at some of the live dealer things we've talked about. We think it's meaningful coming from the home of and it's real. And when you see the thing that we all built at MGM brand itself, on the casino floor, it's compelling. And so, Gary, I don't know if you want to clean that up.
Gary Fritz: No, I think that's right. I mean I think like content creation and content development is probably the area where the MGM Resorts digital capabilities helps BetMGM the best. In terms of the owned and operated BetMGM distribution points and cooperating with BetMGM, we certainly try not to do things that are silly and we try to make sure we can support each other where we can. But those are two very distinctly operated businesses, given the nature of the joint venture agreement.
David Katz: Got it. And just following up on your commentary with respect to sports betting, is there any sort of back and forth or information share, content share or anything like that?
Gary Fritz: We operate those businesses largely independently.
David Katz: Okay. Perfect. Thank you.
Operator: Next question is from Barry Jonas with Truist Securities. Please go ahead.
Barry Jonas: Hey, guys. Really appreciate the commentary on the MGM Grand hotel renovations and the impact you expect. Maybe talk about how we should think about the ADR uplift once these rooms come back online? And any overall ROI expectations we should think about for the model? Thanks.
Bill Hornbuckle: I had an opportunity, by the way, to walk them for the first time yesterday or day before. They came out spectacular. And I think they are actually a complete change and uplift to the property. More so than any of the renovation we've done in a while. So, Corey, you can handle the math?
Corey Sanders: Yeah. I think between the convention business and getting the rates we should get for there because those rooms are new. We are going to convert some rooms into suites. We think there's some lift there also, both from an ADR perspective and a casino perspective. To quantify the uplift, we'll raise our minimum rates there, but I don't think we'd put a pencil to that paper quite yet.
Barry Jonas: Got it. Got it. And we get a lot of questions from clients about states increasing sports betting taxes, governor of Maryland also talked about maybe increasing table games taxes. So kind of just wanted to get your thoughts. How concerned are you about more states looking to raise digital or land-based taxes? And two, are there ways for you to sort of offset this? Thanks.
Corey Sanders: Yeah. Obviously, this is something we've dealt with for a very long time. The fact that we're now in 42 states, give or take, with particularly with digital opportunities, makes it more complex. I think for now in Maryland, I think we've cured that moving forward. I feel very comfortable about that because when we sat with the Governor of the office and went through the gives and takes and what that meant in terms of employment and jobs and some of the other commitment we met -- the commitments we gave to the community, there was a pretty quick and good understanding of that. And so I think we've backed that down. And it's a competitive landscape. Virginia now has not only casinos to the south, but they're talking about one to the north. As it relates to digital, I think it's going to be an ongoing game, if you will. I think there are markets that get it. There are markets that want to see true growth and keep it onshore versus offshore out of black holes. And there's a couple of states, I think we'll continue to battle. It will be interesting to see states come up next for iGaming and how they think about tax. I do believe it's manageable. I think we've done -- I think we, the entity, by the way, it's not just on MGM. I've done a good job so far communicating what's at stake and why. And so never say never, but out of all the things that keep me up at night, it's not one of them. I don't know if it keeps you up, Gary.
Gary Fritz: It certainly keeps me up, yes.
Barry Jonas: I appreciate it. Nice quarter. Thank you.
Operator: The next question is from John DeCree with CBRE. Please go ahead.
John DeCree: Hi, everyone. Thanks for taking my questions. I just maybe wanted to ask about, you've commented a little bit on how strong the swap business had been in Las Vegas, particularly in December. And curious if you could maybe dive into that a little bit and, because I sense if you have an idea of what's driving that? Is it kind of how you're feeling rooms? And just kind of looking to see how sustainable those slot growth trends might be?
Jonathan Halkyard: Yeah. I think it does have to do with, of course, the casino mix that we have in the business in the fall and into December. I think it also comes down to product. We do have a, I think, a very proficient slot center of excellence that does an outstanding job managing our product portfolio and also -- and doing so, I think, at very reasonable CapEx levels. But in the end, I think it's just the work that we've done to manage the mix of the hotel. We've also made some important capital investments this year in high-limit slot areas, ARIA, MGM Grand, The Bellagio is underway. And in the regions, we've done it in National Harbor as well as some work at the Borgata and others. So, it's all of those things coming together to really build a robust slot business.
Corey Sanders: And we've also seen an uplift from our regions coming into Vegas also. So that's helped also.
John DeCree: Got it. Thanks, Jonathan and Corey. Maybe, one more. It's a bit of ways ahead to think about F1 this year, but though the first year was gangbusters and then we talked about last year's 2024 F1 quite a bit. But curious on your thoughts if there's things that you might do differently this year for 2025 and ways to kind of keep improving and calibrating the approach to F1 from MGM's perspective?
Bill Hornbuckle: Yeah, I'll take that. This is Bill. Look, at 40,000 feet, first year was a phenom. It was the first time, et cetera. Our average rates, which really drove our results are like 800 and change throughout the company. Interestingly, this year, though, there were 400 and change. And that is literally 2x the normal. If you all recall, this is the second worst weekend of the year. So we're excited to continue to support it. We're excited to be behind it. We cut back on our ticket packaging this year. We focused on the Fountain Club. We got rewarded for that. But I think if you think about Formula One and going forward, the best news I've heard is they are recontemplating and considering pricing and what to charge. And I think that's meaningful because to the extent we can get a foundation going early, we can continue to build on that. And so I think that messaging has been delivered and heard. So we're excited by that. And then obviously, we and the rest of the city, have a quote unquote three-year deal with an extension opportunity. We don't think it's going anywhere. We don't want it to go anywhere. But come next year, we're going to have to obviously sit down and discuss what it feels like going forward from there.
John DeCree: Great. Thanks, Bill. Appreciate it, everyone.
Operator: The next question is from Stephen Grambling with Morgan Stanley. Please go ahead.
Stephen Grambling: Hey, thanks for taking the question. Maybe turning to Macau. I just wondering if there's any color you could provide on Chinese New Year, how we started the year, just given all the noise from a tariff and otherwise, and there just seems to be kind of conflicting commentary out of the industry data so far.
Bill Hornbuckle: I'll turn this over to Kenny here in a minute. I think we had a great Chinese New Year in terms of market share, particularly win and visitation for our properties. But Kenny, why don't you give us some real color, Hubert?
Kenneth Feng: Okay. This is Kenny from Macau. I think like we had a pretty solid Chinese New Year. Both properties recorded strong traffic about like 18% higher than the 2024 Chinese New Year. Like -- gaming volume was also higher than last year's Chinese New Year, and we have maintained our mid-teens market share. Particularly I want to point out, we have noticed a very, very longer tail to Chinese New Year with a high percentage of players arriving post-Chinese New Year holidays versus 2024. Actually, our business volume was almost in the second week of Chinese New Year was as strong as the first week of Chinese New Year. I think that's the comment from me.
Stephen Grambling: Great. Thank you. Maybe one unrelated follow-up, if I can sneak one in, just on Vegas. I think you had said that the aspiration is for EBITDA to be positive kind of post Super Bowl comparison here. I guess within that, is there any color you could provide on how to think about the run rate wages and any other puts and takes on the expenses for Vegas in particular?
Bill Hornbuckle: Yeah. I'll kick it off, and Corey can clean this up for sure, John. I think the biggest thing to think about is, remember, we're now going into the third year of our culinary agreement. And so June, while there's a step-up, it's demonstrably less than it was. I think we went from 12, Corey, help me, or just under 6.
Corey Sanders: And I think it's a little lower.
Bill Hornbuckle: Yeah. And we're now in the 4s. So if we think about wage and inflation increase in that perspective, I think we're in really good shape. I think the team has gotten a really good handle on FDEs. We have been flat now for some time. And I think I'm encouraged by it because as I stated earlier, we continue to keep our MPS and our service where we want and needed to be without adding additional staff. And so that piece of it, I think, is well under control.
Corey Sanders: Yeah. What I would add is, some of the initiatives we're running through, we think, hopefully, will also bring our labor costs down. So the goal would be is to neutralize as much of the increase as possible and feel pretty positive that we'll be able to do that.
Stephen Grambling: Great. Thank you so much.
Operator: The next question is from Dan Politzer with Wells Fargo. Please go ahead.
Dan Politzer: Hey, good afternoon, everyone. Thanks for taking my questions. First, you took a lot of slot share in the quarter, but your rate of promotions was up a tad. Are there any changes in your strategy or the promotional environment that you'd call out? And are you more aggressively going after that slot player?
Jonathan Halkyard: No, no meaningful change in the promotional investment. I mean we are always tweaking it and try to improve, but nothing, no meaningful change either way.
Dan Politzer: Got it. And just to clarify, it does sound like you're certainly more constructive on the demand environment. Jonathan, you called out ADR up mid-single digits ex the Super Bowl and record January. So just wanted to clarify. So the first quarter, I mean, even with the Super Bowl lapping, it sounds like you should grow and then the same thing for the second quarter through fourth quarter. I just want to make sure we're getting that straight. Thanks.
Jonathan Halkyard: It's going to be pretty difficult in the first quarter with a $65 million year-over-year headwind. So the way we plan the business is, we try to adjust internally for those not that we give ourselves a pass in terms of growing the business, but we just have to be realistic about that headwind.
Bill Hornbuckle: I think -- but to save not for that, meaning Super Bowl, ADRs, OCK and all we feel progressive and positive on. I want to make sure that you understand the rational reason for that is principally, and for today, given what we've seen today, Super Bowl.
Dan Politzer: Got it. That makes sense. Thank you.
Operator: The next question is from Robin Farley with UBS. Please go ahead.
Robin Farley: Great. Thanks. Just circling back on your comment that you were kind of targeting to make up for that $65 million in Super Bowl for the year. I don't know if we could take that as like soft guide that you think EBITDA will be flat year-over-year in Vegas. But just wondering, you mentioned the $150 million of the $200 million in opportunity kind of mix of revenue expense. With that $150 million, is that part of what gets you to flat in Vegas for the year or is that the incremental? I don't know if that was sort of a company-wide number? Thanks.
Jonathan Halkyard: Yeah, that is a company-wide number, and we certainly don't intend guidance one way or the other. We're just trying to put some of the pieces together so people can understand what our objectives are this year. We have two things to overcome. The Super Bowl, we talked about quite a lot. I mentioned the impact of the renovation of the MGM Grand, which is off to a fantastic start. But we do have a number of things going for us. Of course, the solid execution so far this year. And then this program that we put in place at the -- early in November of last year to get ourselves in a position to overcome some of those obstacles. So that's pretty much where it stands for the year.
Robin Farley: Okay. Thank you. And as a follow-up, just on the share repurchase intentions. I feel like at times last year, you've talked about not necessarily repurchasing shares at the same rate you had in kind of more recent years. How should we think about kind of what level of share repurchase you might be thinking about for '25? Thanks.
Jonathan Halkyard: We're really -- we think there is a tremendous value in the shares right now for the reasons -- some of the reasons Bill articulated at the end of his prepared remarks. I mean the fact of the matter is, while we have some attractive investments in front of us, our own shares, the investment we know the best represents such a compelling value that we just think it's the most responsible thing to do to allocate capital toward that. So that's why we made those comments. And at these levels, we just think it's very attractive. So that's why we say we're going to continue to be aggressive.
Robin Farley: It could be at a similar rate to last year's repurchase?
Jonathan Halkyard: I mean we did $120 million in the fourth quarter, and we've done almost $300 million so -- during the month of January. So you can see how we've picked up the pace on that driven by the -- really just the valuation of the shares.
Bill Hornbuckle: Robin, I think just double down here, we'll remain active and aggressive to the extent the share price is in the realm that it's in. And then maybe, look, despite, I don't want even to walk away with the flat commentary is flat. Despite the issues that we have, we have projected growth. I'm not going to say much in Las Vegas EBITDA in 2025. Obviously, it's a long way to go. We all understand the ups and downs of this business. But fundamentally, we love the summer season. We've got -- which is always important to us in terms of lineup of entertainment. We've got everyone and their brother coming back. And so we're excited by that. So we remain optimistic and positive. And so I just want to make sure that it's left in that bank.
Robin Farley: Great. Thank you very much. Thanks.
Operator: The next question is from Chad Beynon with Macquarie. Please go ahead.
Chad Beynon: Hi, good afternoon. Thanks for taking my question. Bill. I was just going to pile on kind of where you left off on that last question. So if we think about Vegas, just the luxury versus the core, obviously, notwithstanding what's going on at MGM Grand. Is it safe to say that you and the team still believe that the pricing opportunities and the growth will still probably put luxury exceeding core again kind of what we're seeing the hotel industry. Is that kind of your view at this point based on group casino bookings and just kind of where you see the consumer?
Bill Hornbuckle: Yeah, absolutely. And for us, particularly given the nature of our business and the nature of who we attract and who we appeal to, give you a little off the color stat here. If you think about the fourth quarter, and you think about premium customers, you saw what we missed in the fourth quarter by, there was less than 10 customers that equated to about $80 million of [baccarat] (ph) year-over-year difference. And so that can go either way, go up and go down. But it's pretty consistent. And given our scale and scope, we obviously enjoy a nice piece of that -- oversized piece of that. But yes, we feel positive, particularly about the top end of the marketplace.
Chad Beynon: Okay. Great. Thank you. And then on the digital business, as we look at some of these markets that you talked about that you're growing into, is there a market share goal that you believe can be achieved? Is that kind of uniform across markets? Or is every market different given the number of players and the tax rate and the like?
Bill Hornbuckle: Yeah. I think we try to calibrate our market share target to the relative maturity of the market, competitive intensity and whether or not we have the strength of our value proposition in any given market. So it would be hard to say that we have a uniform target across everything. That being said, I don't think we think it's worth attacking or entering a market if our goal wasn't to get to at least 5% in any given market we entered.
Chad Beynon: Thank you very much. Appreciate it.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Bill Hornbuckle for any closing remarks.
Bill Hornbuckle: Thank you. And thanks, everyone, for joining us today. Now it's late, particularly back on the East Coast. I'd love to wish everyone a happy belated New Year. This year marks the year of the snake which interestingly symbolizes strength, renewal and growth. We see a great deal of strength in our land-based US Macau operations and a positive trajectory that we believe will continue well into '25. Renewal of several story franchises with fresh capital and rebranding initiatives, particularly here at Bellagio, what we're attempting in doing at MGM Grand and the newly rebranded W at Mandalay and growth I think you've heard a lot about that today in terms of the change that MGM is expecting to produce and ultimately, what happens to the balance of our digital platforms and, of course, Japan. We think there's plenty of reasons to be optimistic for each of our business segments within MGM. And with that, we thank you all and wish you a good night.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.